Operator: Greetings, and welcome to Columbus McKinnon Corporation First Quarter Fiscal Year 2019 Financial Results. [Operator Instructions]. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Deborah Pawlowski, Investor Relations for Columbus McKinnon Corporation. Thank you, Ms. Pawlowski. You may begin.
Deborah Pawlowski: Thanks, Doug, and good morning, everyone. We appreciate your time today and your interest in Columbus McKinnon. On the call with me are Mark Morelli, President and CEO; and Greg Rustowicz, our Chief Financial Officer. You should have a copy of the first quarter fiscal 2019 financial results, which were released earlier this morning. If not, you can access those and the slides that will accompany our conversation today at our website, cmworks.com. If you'll turn to Slide 2 of the slide deck, I will review the safe harbor statement. If you are aware, we may make some forward-looking statements during the formal discussions as well as during the Q&A session. These statements apply to future events that are subject to risks and uncertainties as well as other factors that could cause actual results to differ materially from what is stated here today. These risks and uncertainties and other factors are provided in the earnings release as well as with other documents filed with the Securities and Exchange Commission. These documents can be found on our website or at sec.gov. During today's call, we will also discuss some non-GAAP financial measures. We believe these will be useful in evaluating our performance. You should not consider the presentation of this additional information isolation or the substitute for results prepared in accordance with GAAP. We have provided reconciliations of non-GAAP measures to comparable GAAP measures in the tables that accompany today's release and slides for your information. So with that, please turn to Slide 3, and I will turn it over to Mark to begin. Mark?
Mark Morelli: Thanks, Deb, and good morning, everyone. Our strong financial results for the first quarter of fiscal 2019 demonstrate the progress we're making with the initial efforts of Phase 2 of our Blueprint 2021 strategy. The results also demonstrate adaptive opportunity available to us as well as the capability of our team to outperform last year's strong results. The operating improvements in the quarter are encouraging as our diluted earnings per share was $0.74, an increase of 35% over last year's first quarter. This is on an adjusted basis, which excludes the $11 million impairment for assets held for sale and $1.9 million of the STAHL integration costs. Prior to these adjustments, the diluted earnings per share was $0.33. Also, encouragingly, we achieved a record adjusted EBITDA margin of nearly 16%, which was driven by record gross margin. We're capitalizing on the deployment of our E-PAS operating system, which as a reminder, E-PAS stands for Earnings Power Acceleration System. This is our toolkit of processes that drive the elements of our strategy. We had very good success last year and we are building upon that momentum by incorporating additional tools this year to advance Phase 2 of Blueprint 2021. Before I walk you through our Phase 2 progress in greater detail, let me highlight a few examples of how we're taking advantage of opportunities in a wide range of end markets. In automotive, key OEM customers are making capital investments for the conversion of traditional car production to truck and SUV assembly. This shift has been driving demand for our preferred lifting and positioning solutions. For the upstream oil and gas markets, offshore activity has been picking up, requiring replacements and upgrades of our hoists. In the midstream space, there are major Middle East pipeline development projects in which we are involved. In fact, we have a strong pipeline for projects in which our explosion protected products are both well-suited and preferred. As you're aware, the metals processing and steel industries, as well as the aerospace industry are quite strong. Process facilities and production lines are being refurbished and upgraded to more efficient systems as manufacturers bring on new capacity. This has provided solid demand for our drive and controls products. The entertainment industry has been very busy as well. The market has remained active despite the typical seasonal slowdown as artists are looking for more automation to create dramatic performances and entertaining displays. Our preferred solutions are addressing these needs. The utility industry has been an active market. Contractors are working on infrastructure projects, including the continued rebuild in Puerto Rico and Houston, as well as expansion of power lines to meet new home build rates. We expect the summer heat will drive substation work as well. Encouragingly, our mining focus in South Africa is having success with cross-selling STAHL products in an improved environment, and there is solid demand in general construction, pulp and paper, elevators, government and rail. In fact, this month, we just landed a $5.3 million rail project in Israel, our largest project ever. It's important to recognize that our results are demonstrating that there's greater earnings power potential for the business. But we have more work to do as there's a lot more runway inherent in our business. So let me address what we are focused on this fiscal year to further advance Phase 2 of Blueprint 2021. Please turn to Slide 4. We are now in Phase 2 of Blueprint 2021 strategy and we're reaping the benefits of simplification, focus on availability, introduction of new products that solve high-value problems and better productivity. Our first area of focus is on simplifying the business. We are streamlining products and focusing on profitable revenue. There are two dimensions to our efforts, one is the identification of bleeders or areas of our business where we're not making money and the products are significantly dilutive to our margins. We take actions here to remedy the situations. The other is in the identification of areas that should be a relative strength. We take action here to more fully exploit their potential. Our wire rope hoist platform simplification is making great progress. We're leveraging the STAHL product portfolio to create a new platform that enables rationalization of product lines. In fact, customer acceptance has been very positive. The new hoists are smaller, quieter and provide better features. While we are still in the early stages of this project, the upgrade of this product will provide approximately $1.5 million in savings towards our STAHL synergies target this fiscal year. We will be advancing the rollout of this platform, adding new market offerings with greater lifting capacities up to 50 tons. We're also addressing what is obvious low-hanging fruit in our business simplification efforts. We've decided to sell three businesses that clearly don't fit well with our current business core strategy. These businesses are better served with other owners. So let me talk to them briefly. For some of you, you may be surprised to learn that we have a Tire Shredder business. It was a diversification strategy long ago and has since operated completely independently. Since we're not in the reclamation or waste management business, this is not a good fit with our growth strategy. The Crane Equipment and Service business is a small crane building business in the U.S. Midwest. This business does the same work that our channel partners do, so it's better suited for one of our customers to own and operate. Its sale will eliminate some channel conflict. As for Stahlhammer Bommern, this is a fabricator of very large hooks and shackles based in Europe, and we acquired this business in 2014. It didn't have the synergies with our other businesses as its products do not integrate well into our existing channel and we have very little manufacturing synergies. These three businesses had $38 million in revenue and $1 million in operating income in fiscal 2018. Excluding these businesses, our fiscal 2018 operating margin would have been 30 basis points higher. Our second focus area is on improving productivity. We're already seeing progress as improved productivity significantly contributed to our margin expansion in the quarter. Bert Brant, our new VP of Global Manufacturing Operations, and our operations teams are digging in and getting traction with material and labor productivity improvements. We had a good quarter offsetting rising supply chain cost through actions with suppliers and material productivity initiatives. They're also deploying specific productivity metrics to our factories and we're making progress through lean initiatives. We are just getting started and we still have a lot of runway remaining as we drive towards operating excellence. The third area of focus is further ramping our growth engine. We've launched new products that offer better productivity and improved safety. These fit well with our definition of solving high-value problems. Ultimately, they help us progress towards our vision of becoming more of an industrial technology company. We've launched a new wire rope hoist platform, increased our offering of variable speed controls and electric chain hoists and developed and launched new ergonomic work platforms to improve safety. We're expanding our digital platform by adding more products to our online tool. This has been driving higher quoting activity and we have more revenue flowing through our digital system, making it easier for customers to do business with us. And importantly, as you see, we've added Mario Ramos to the team as Vice President of New Product Development to help us better identify opportunities and focus resources efficiently. Our other area of focus is on the continued transformation of our culture. We're building on the momentum from the launch last year of our mission, vision and values. The culture theme is about the raising expectations of every individual by living our values to win as a team and create a performance culture. Our new business unit structure is taking hold with global leadership focused on product lines. I'm especially encouraged with this because we believe we're getting traction and this is contributing to our solid performance. This is a testament to the capability of our teams and their ability to rise to the challenge and successfully execute Phase 2 of our strategy. Let me turn the call over to Greg to cover the financials. Greg?
Gregory Rustowicz: Thank you, Mark. Good morning, everyone. On Slide 5, consolidated sales in the first quarter of $225 million were up 10.4% from the prior year. Excluding FX, we had organic sales growth of $16 million or 7.8%. Overall, our markets remained strong with solid growth in virtually all of our businesses. Sales volume was up $14 million or 6.8%, and pricing was higher than the previous year by $2 million or 100 basis points and was ahead of raw material inflation. In the prior year, we implemented 40 basis points of pricing, so this year's price increase has more than doubled the prior year. Foreign currency translation continued to be a tailwind. It increased sales in the quarter by 2.6%, largely the result of a stronger euro and weaker U.S. dollar. For the quarter, U.S. sales were up $9.1 million or 8.2%. Sales outside of the U.S. were up $12.2 million or 13.1%, with $5.3 million of the change due to FX. Excluding the effects of foreign currency translation, we saw organic growth of 7.5% outside the U.S. Inside the U.S., the markets remained strong and our leading position in this region continues to serve us well. Our business in EMEA was quite strong as well with organic growth of 10.3%. On Slide 6, we achieved a new record for adjusted gross margin of 35.4% in the quarter. Our strong gross margin this quarter benefited from favorable project mix. First quarter gross profit of $79.6 million increased by $10.6 million or 15.4%. Let's now review the quarter's gross profit bridge. The 2 largest contributors to gross profit expansion were higher sales volume and productivity, net of other cost changes. Volume and mix contributed $4 million to gross profit, while productivity contributed $3.7 million. This was a record level of productivity and we see further improvement opportunities ahead, as Mark referenced. Foreign currency translation added $1.6 million of gross profit. The impact of higher pricing more than offset raw material inflation, which positively impacted gross profit by $1.5 million. This is particularly important given the pressure on raw material costs and the expected effect of tariffs. We see inflation pressures increasing, but the team is doing a great job of managing this. As shown on Slide 7, RSG&A costs were $51.1 million in the quarter. This includes $1.6 million of pro forma costs related to the STAHL integration. Excluding these items, RSG&A was $49.5 million or 22% of sales. We expect R&D costs as a percent of sales to increase as we invest in new product development. We are also driving efficiencies in selling, general and administrative costs, which should help offset some of the increase in R&D spend. Compared to the prior year quarter, R&D costs were up $800,000 as we begin to increase our investments in this important area of growth generation. Selling expenses increased $1.8 million on higher volume, FX and STAHL integration cost. G&A cost increased $2.9 million. FX and STAHL integration cost accounted for $400,000 of the increase. Higher benefit cost of $1 million included higher bonus accruals given the strong Q1 performance. The remainder is largely due to environmental and bad debt accruals, which likely won't repeat in Q2. Our quarterly forecasted RSG&A run rate is expected to be in a range of $48 million to $49 million in the second quarter versus our previous guidance of $47.5 million. While we will still recognize the additional STAHL integration savings of $500,000 beginning in the second quarter, we will have higher R&D cost and higher incentive compensation cost than the previous guidance. Turning to Slide 8. Adjusted income from operations grew 26% to $26.5 million or 11.8% of sales. This is on top of 87% growth in the prior year and represents a step change in performance. This compares to adjusted operating income of $21 million or 10.3% of sales in the prior year. Adjusted operating margin improved 150 basis points over the prior year. This is the highest adjusted operating income and margin that we have seen in 10 years. So far, we have achieved about $8 million of STAHL synergies compared to our target of $14 million for fiscal '19. The reconciliation for adjusted operating income can be found on Page 16 of this presentation. As you can see on Slide 9, GAAP earnings per diluted share were $0.33 versus $0.51 per diluted share in the prior year period. Adjusted earnings per diluted share for the first quarter of fiscal 2019 were $0.74 compared to $0.55 in the previous year, an increase of $0.19 per share or 35%. This is excellent performance and demonstrates the true earnings power potential of the company. The reconciliation of GAAP earnings per share to adjusted earnings per share can be found on Page 17 of this presentation. All adjustments are tax-affected in our normalized tax rate of 22%. On a GAAP basis, our effective tax rate in the current quarter was 19%. As Mark pointed out earlier, we achieved a 15.7% adjusted EBITDA margin in the quarter, which demonstrates the progress we are making with our Blueprint 2021 strategy. Turning to Slide 10. Our working capital as a percent of sales was 19.4% this quarter. This compares to 19% at June 30, 2017, and 17.9% at March 31, 2018. Working capital as a percent of sales increased 40 basis points from the prior year quarter, reflecting the impact of higher DSOs from the STAHL acquisition, which is typical for European companies. Inventory turns were 3.7 turns, lower than a year ago and the same as March 31 levels. We are carrying higher inventory levels currently to improve our on-time delivery as the markets are strong and our backlog is healthy. We are also anticipating that supply chains will get extended as the year progresses. We are seeing some signs of raw material tightness and are managing this risk appropriately. On Slide 11, net cash from operating activities for the quarter were $8.1 million, which was lower than the prior year amount of $14.4 million. This represents the low point for quarterly operating free cash flow as it reflects an incremental $9 million of cash bonuses paid as a result of our strong performance in fiscal '18. We expect strong cash flow generation over the remainder of the fiscal year. Our guidance for capital expenditures for fiscal '19 remains unchanged at $15 million to $20 million. Turning to slide 12. Our total debt was approximately $354 million and our net debt was approximately $297 million as of June 30, 2018. Our net debt to net total capitalization was 42%. We repaid $10 million of debt in the first quarter. We made excellent progress delevering and have achieved a net debt to adjusted EBITDA ratio of 2.4x. Our long-term target for net leverage is approximately 2x, so we're almost there We do expect debt repayment to total $60 million in fiscal 2019. Once we have delevered the balance sheet, our capital allocation priorities remain unchanged. Please turn to Slide 13, and I will hand it back over to Mark.
Mark Morelli: Thank you, Greg. We're committed to creating a higher-performing business and we are demonstrating a strong start to fiscal 2019. We believe we have real evidence our strategy is taking hold, our leadership team is rising to the challenge and we're delivering better earnings. We are confident in our outlook for fiscal 2019. Order activity remains strong and we have a full pipeline of projects. We expect project order activity to pick up over the next several months as quoting activity is strong and customers are better able to manage engineer staffing. In fact, as I mentioned, we just received that record rail program in July. As we look to the second quarter, our plan is to grow with quality revenue. In fact, with the elimination of bleeders in the quarter, we expect we'll likely shed about 1% of revenue while providing better margins. Absent simplification and project timing, organic growth in the quarter would be 5% to 6%. We are addressing inflation with material productivity and pricing. While our labor is also tight, we're using our productivity efforts to increase people capacity as well. Allow me to reiterate that our strategy is to improve the earnings power of Columbus McKinnon with a better business model focused on industrial technology. Our strategy is working. Our team is getting traction, and we're very encouraged that the changes we are making are sustainable. Doug, we're now ready to open the call for questions.
Operator: [Operator Instructions]. Our first question comes from the line of Greg Palm with Craig-Hallum.
Gregory Palm: I wanted to first start off on kind of what you're seeing in the macro. You talked about kind of the bid in pipeline and sort of recent trends and just maybe wanted to get a little bit more detail on that. It sounds like there's some maybe orders that are being pushed out. But how confident are you that some of that's due to more of these, I don't know, staffing challenges and scheduling versus some of the kind of trade tariffs, geopolitical issues that seem to be impacting some other companies here?
Mark Morelli: Yes. Well, these things are always difficult to tell, but we've dug pretty deep with our teams and we're pretty confident that the projects that we have are pretty good bid on or being pushed because of engineering staffing. And I think it's also really a function of the macro environment. Labor is tight and they've had to address some of the staff engineering -- some of the engineering staffing issues they've had. But our projects were solid, our products are really preferred in these type of offerings. These are -- a lot of it's related to the Middle East, oil and gas, explosion protection, where we've really got a good bid on and our products were really preferred. So I think we feel pretty encouraged by this and that we should have a very good outlook for the year.
Gregory Palm: Got it, okay. In terms of the backlog levels, at the end of June, was there any impact from the divested businesses? Did you take any of that out of backlog from March to June?
Gregory Rustowicz: Greg, it's Greg. No, we have not. So that represents the total company backlog. And just to comment on the potential divestitures, we do see these businesses staying with us potentially through the end of the fiscal year. There might be 1 or 2 transactions that get done about the December time frame, but at least in the next quarter, for sure, those businesses will still be with Columbus McKinnon.
Gregory Palm: Very well, okay. And any detail on -- I think you gave the operating income in revenue of the three. Any sort of commentary on the gross margins of those three businesses in aggregate?
Gregory Rustowicz: Yes, I don't have the gross margin handy, but they would be on the lower end and dilutive to our overall gross margins. But certainly, from an operating margin perspective, besides, in our prepared remarks, we commented on the impact in fiscal '18, I did want to give the folks on the phone the impact on the first quarter. So in the first quarter, those divested businesses had about $11 million of revenue and about $700,000 of operating income.
Gregory Palm: Got it. Okay. And then last one for me. I know you've hinted at this profitable growth initiative and potential for divestment. Should we assume that you're done with the three here? Or is this still a work in progress and you continue to sort of look at other lines of potentially divesting or something else going forward?
Mark Morelli: Well, Greg, I think this is what pops out to us as we're going through our simplification efforts. Obviously, as you know, we've deployed our operating system to a pretty granular level. So we have very good visibility as to how these businesses are operating. They really don't fit well. So we're taking them out, really, as part of Phase 2 of our simplification initiative, part of the Blueprint 2021 Phase 2. We're not yet in a Phase 3, where we're doing more portfolio analysis, so other things may come to the surface then, but for right now, this looks like this will be the end of what we do in terms of divestitures as part of Phase 2.
Operator: Our next question comes from the line of Michael Shlisky with Seaport Global.
Ryan Amberger: This is Ryan Amberger on for Mike. Just two quick ones. Can you give us a little more color on which end markets were the strongest in the quarter and which were the most challenged and what your expectations, if there's any change, going forward?
Mark Morelli: Well, we saw a lot of strength out of the North American market. General manufacturing was great. Steel, aerospace was great. We even saw strength in the aerospace markets because they were good. Automotive has slowed, as you see the number of vehicles have dropped in the United States, but the model changeover continues to be pretty good for us. As I've said in my prepared remarks, folks are transferring the lines over to SUVs and trucks. So we're selling a decent amount there. So there's some real strength there. And entertainment, which would normally be quite light, the entertainment industry itself continued to be strong, as I said, at automation. So we're seeing a pretty wide swath of strength and mark our growth -- utilities also are strong. So it's been a really good market for us and we've taken advantage of that strength by what we're doing, how we position ourselves in the markets as well. So we're very happy with what's going on, and I think we're getting outsized growth from what we can see from our competition as well. In Europe, let me just comment there. The general industry also appears pretty strong for us. People are still spending on CapEx and the markets are fairly robust. So we're pretty encouraged with what we're seeing.
Ryan Amberger: Great. And one other quick one just on pricing. How long do you think you can maintain the positive pricing? Do you have a positive outlook for a few quarters out?
Mark Morelli: So we monitor the pricing and our material cost inflation pretty regularly. And so we'll take actions accordingly. As you know, we've got some traction in pricing, and we're going to be looking at this vis-à-vis tariffs, vis-à-vis material inflation that might be creeping in. And so we'll take action accordingly. And I think the market is favorable for some price increases, and so we'll continue to prosecute that as need be.
Gregory Rustowicz: Yes. Just to add on, Ryan, at least in my seven years with the company, we've always had price exceeding raw material inflation.
Operator: Our next question comes from the line of Matt Koranda with Roth Capital Partners.
Matthew Koranda: I just wanted to start out with a clarifying question. So the outlook for Q2 in terms of growth, I think you said, ex some of the bleeders that you were exiting, would be 2% to 3% growth. But Mark, what did you -- you mentioned toward the end of your prepared remarks, and I think I missed it, what it would've been if you had kept those in the guidance. What would have it been?
Mark Morelli: So if we had kept in the guidance the absence of the bleeders and also some of the project timing, we would have been 5% to 6% organic growth in the quarter.
Matthew Koranda: Okay, got it. And may be could you shed a little light on -- or maybe give a little bit more color on what specific product lines or brands you may be exiting here? I mean, any help there? Is it around the Tire Shredder and all that stuff? Or is it stuff that's may be more core, the hoist-related?
Mark Morelli: No, there's a couple of areas where last year, we had some pretty strong revenue, with business that was quite dilutive on margins. We took some business through our unified operations, which was automotive, where we were chasing some volume with very little margin associated with it. We also chased some crane business through CES, which is a business that we're divesting, where we had some large projects that we're selling to automotive customers at very low margins that are not repeating. Also in Brazil, we had quite a significant amount of revenue that was going at not very good margins and not really sustainable business for us, where we're not getting growth. So those were kind of the major areas that we saw, that we were shutting some revenue due to these bleeders.
Gregory Rustowicz: And Matt, just to clarify. So we would be 3% to 4% organic growth, excluding the bleeders, if we weren't taking action there, and 5% to 6% with the projects as well. And I would mention that we see FX as being a slight headwind in the quarter. The euro is getting a little weaker compared to a year ago.
Matthew Koranda: Got it. That's helpful. And then just -- I guess, it seems like given the end markets that you operate in and most of them coming on trough that, that 2% to 3% guide, if you embed may be a bit of a tailwind from pricing, is still a little below the volume expectations I would have had. So is there any destocking happening at the distribution level? I mean, are you seeing any of that happen or embedding that into your outlook for the next quarter?
Gregory Rustowicz: So, Matt, one of the things I would point out as well, is we saw really strong growth last year as we came out of this industrial recession, I believe we had 8.5% organic growth in the second quarter a year ago. So it is reverting back a little bit to the mean, but nonetheless, we still see significant growth opportunities for the company in the fiscal year.
Mark Morelli: Yes, Matt, can you explain your question about destocking of the channel? Can you explain that question a little bit more?
Matthew Koranda: Yes, if you just look at the industrial macro indicators and sort of the historical organic growth that Columbus McKinnon has experienced in this type of macro environment, I just would have expected maybe a low to mid-single-digit guide organically. It's probably -- I'm guessing, it's just choppiness and the tough comp here, but that's sort of -- that was the gist of the question. I was just -- I was expecting a little higher and thinking maybe you, guys were embedding some destocking assumptions there.
Mark Morelli: No, no. Not at all. I mean, it's the project timing and the simplification effort. So it's nothing beyond that.
Matthew Koranda: Okay, all right, perfect. And then just on raw material, you did mention in the prepared remarks, there was some tightness. So I just wanted to see if we could specifically drill down. What is getting tight? And what are you stocking more of currently that's kind of driving inventory higher?
Gregory Rustowicz: Yes. So one area that we see some tightness in is in the motor area. So we're working through that with our supply chain and looking to expand the breadth of our suppliers. They've had a more competitive process in terms of our motors. That would be one in particular.
Mark Morelli: And the other area that's kind of obvious is related to steel. We don't buy a ton of steel like some of our supply chain -- excuse me, our channel partners do. Because our channel partners make the large-order cranes. We don't do that as a course of our business. So we're not as impacted as heavily there, but we have seen steel pricing going up, so we've been managing that accordingly as well.
Matthew Koranda: Got it. Okay. And then just in terms of the freight headwind. I don't know if I saw it called out explicitly. But is that embedded -- I guess, is that netted out of a certain line item in Slide 6, Greg? Could you help us out there, just in terms of the headwind you saw from freight?
Gregory Rustowicz: Yes. So we have not seen a big headwind from freight. So if we had seen it, it would have shown in the productivity number, net of other cost changes. And it's not really, for us, it's not been a significant factor this year nor do we anticipate it going forward to be.
Matthew Koranda: Okay, great. And then north of -- I mean, this quarter, great incremental EBITDA margins. Is there anything -- I mean, north of 50% by my calculation, but is there anything extraordinary about the mix or anything that isn't repeatable for the remainder of this fiscal year in terms of the incremental margins that you guys achieved?
Gregory Rustowicz: We expect, Matt, to continue to grow EBITDA margins. We've got a lot of initiatives going on to drive productivity in our plans, and where we're seeing some -- as we saw this quarter, record productivity. So we see huge opportunities there. And we also think, with Mario Ramos now onboard, we're going to continue to see a jump start in our new products, which should drive additional EBITDA as well.
Operator: Our next question comes from the line of Jon Tanwanteng from CJS.
Jonathan Tanwanteng: Can you talk about some of the productivity gains you're unlocking? They were pretty impressive. What specifically are going on in your supply chain and your manufacturing to fill those gains?
Mark Morelli: So there's a pretty big initiative that Bert and the team are all working together, also with our heads of our product lines. And our factories are kind of average. When you think about how do they perform, if you would ever visit one of our factories, I think it would probably come away with the impression we're on a lean journey, but we're not particularly far down that path. So there's a number of initiatives. So the first one is there -- we put in place a new head of purchasing for our organization that comes from Danaher company. And he instituted a triage process by which we really go out there and manage some of this material inflation and get hold of how we manage our suppliers. And I understand that's sort of a short-term thing, but it's really digging in deeper with how we can also expand and try to make sure that our supply chain is well balanced and that we're able to get better leverage off of our supply chain. So that's one initiative around material productivity. We're also filling the pipeline of material productivity projects, so that we're able to drive greater material productivity, perhaps greater than what we've seen in the past from Columbus McKinnon. And then the other area is on how do we go after better labor productivity? And specifically there, we've deployed a set of key performance indicators, or KPIs, by which we challenge the factories to get better. And the areas that we're thinking here is indirect versus direct labor, what are your -- what's your overhead rates that are running, including activities around logistics, costs. So these kinds of things are really -- they are really driving more of a simplified way by which we get that productivity and accountability by which we start driving results.
Jonathan Tanwanteng: Okay, great. That's pretty helpful. Can you talk a little about the shortage of staffing in engineering with our customers. You said it pushed down some of the projects. Do you have any revenue how much revenue that left out on the table, number one? And kind of, when this bottleneck may -- or logjam may actually break up and let projects out to you, guys,?
Mark Morelli: Go ahead, Greg.
Gregory Rustowicz: So John, we think it was in the neighborhood of close to $3 million of projects. A good bit of that is actually in the Middle East, and that's explosion poised for the STAHL. And we have a pretty good view of those projects, and we expect those to materialize later in the year.
Jonathan Tanwanteng: Okay, and is this a more widespread phenomenon happening across the industry, or it's just in that specific instance?
Mark Morelli: Well, I think we're seeing labor constraints everywhere. And we run in the labor constraints even in our factories when we want to do wiring for some of our control boxes. So I think, generally speaking, folks are running into some tight labor constraints. But demand has been strong, and the oil and gas midstream markets and downstream markets have now been ramping. And some of these projects, I think, were little more optimistic. We just digested a huge slug of that last quarter, as you may know. So they can't always run hotter and hotter. Sometimes, they have to take a bit of a breather, and I think that's what we're seeing here is that they just got to digest some of the projects they've released and they've got to regroup. And we're told these will be coming out to market later this year. So we don't see a real slowdown, we just see some constraints indicative of a pretty hot market.
Operator: [Operator Instructions]. Our next question comes from the line of Joe Mondillo with Sidoti & Company.
Joseph Mondillo: I was wondering if you could just update us, sort of on the time line of Phase 2 of this restructuring effort. And also, with your new Head of Ops on board and product developer, just wondering, have you discovered any sort of new opportunities of productivity improvement or anywhere where we can save further costs?
Mark Morelli: Yes. So we're pretty early innings on Phase 2. As you know, our Phase 1 kind of neatly fit into a year. And the Phase 2 is about simplification, and so we've got tools around simplification. It's around operating excellence and it's about ramping the growth engine. Of course, culture change always goes on. So we're -- being early into this program, I think it's got a lot of legs to it. And in terms of where it fits, I don't necessarily think it just fits neatly into a year. In fact, this kind of activities can have quite some legs to them. In fact, you're never really done with your operating excellence, you're always on that path. But we think we're going to start seeing some benefits in Q2, and we're going to certainly see some benefits next year as well as we continue to get traction here. So the second part of what you asked was, "Where else do you see opportunities by which we can get productivity?" And there's a lot that you can also envision that as you're going through this product line rationalization, that things might move around. And as things move around, that may give you some additional degrees of freedom that you didn't see prior. So when things move inside factories, you can take out costs also associated with your factories, which are not currently in sort of this near-term quarter outlook, but could certainly benefit into next year.
Joseph Mondillo: Okay. Have we added any -- just to sort of follow-up on that, sort of last part that you were talking about. Have you added any plans to the plan? Or is it sort of a case in point, where we have a step-by-step process and I can see us doing this in the future, doing this in the future, not necessarily sort of on the list of to-dos immediately? Just wondering, sort of how many sort of new ventures or initiatives have we started tackling beyond what you thought 6 months ago?
Mark Morelli: In terms of the productivity and simplification? Is that what you're referring?
Joseph Mondillo: Yes.
Mark Morelli: Well, I think, there's quite a lot. We're uncovering quiet a bit. These tools we're using, there's analytics around it and when you do that, you have greater visibility. And sometimes, you have folks that have been running businesses for a long period of time, and they have certain opinions about it and then we run some analytics around it, and they're like, "Wow, we didn't know we were losing that kind of money in this product line or this business segment." So I think we're still in kind of a discovery phase here. We're picking up some low-hanging fruit. But we're still learning quite a bit, and there's tremendous runway by which we think we're going to get much better.
Joseph Mondillo: Okay. So just sort of also to follow-up just on this topic. You've seen around $3 million to $4 million-or-so of quarterly productivity improvements as you reference. But it sounds like Phase 2 is still sort of early innings, so it sounds like you haven't seen tremendous amount of benefits from that. So even though, by the back half of this year, you maybe have a tough comparison because you did see some really good productivity improvements in the back half of last year. It sounds like it's fair to say that even though maybe it's considered sort of a tough comp because of all the benefits that you've seen from Phase 2, productivity improvements are going to continue to be a pretty big tailwind even through this entire year. Is that fair to say?
Mark Morelli: Yes. I think the bottom line is going to grow faster than top line. And I think you're right, we're very early innings on this, and we'll get some traction. It may not necessarily be linear every quarter-to-quarter, but the overall trend will continue, and we're very optimistic that we're on the right path with this strategy, we're demonstrating, we're getting some excellent traction early on and we're very encouraged by the results, and the team is excited on our path and what the future holds for Columbus McKinnon.
Joseph Mondillo: Okay, great. And I was hoping to get -- I didn't hear the full details, if you provided it. I think you mentioned the record rail program that you won. Could you fill us in on any more color regarding that?
Mark Morelli: Yes, so this doesn't show up in our order backlog that was reported as this occurred in July. This was a $5.3 million rail project for Israel as they're upgrading their rail system to an electrified system. And we do depot maintenance centers for rail. So this is where you literally lift up the entire rail train -- excuse me, the entire train. It could be as long as a couple of football fields in length, and you can do maintenance, you can do a lot of work on those railcars. And so this is an excellent project. The largest project of its kind that we were awarded. And so it'll take some time for us to work and digest it. So it won't drop to the revenue immediately, but we're very encouraged that also rail markets, while lumpy, continue to be quite strong.
Joseph Mondillo: So will any of this hit this year, do you think? Or is it more so next year?
Mark Morelli: Yes. So the way the project accounting will work is that it will have some progress payments associated with it. So it's not all going to be in one quarter. But there'll be a little bit coming in at the tail end of this year.
Gregory Rustowicz: Yes, so there will be -- it's several different deliverables, Joe. So there'll be a little bit of revenue this year, but the vast majority of it will be next year, fiscal '20.
Joseph Mondillo: Okay. And then I wanted to ask also, you're getting close, like you mentioned, you're getting close to sort of your target leverage, ideal leverage rate. Just wondering, as -- since we're getting closer to that, how do you think about timing or thinking about sort of Phase 3 and M&A while we're still sort of in the early innings of Phase 2?
Mark Morelli: So I think there may be some blending. I think the time constant on this is not really that determined. I think we should view this Blueprint 2021 strategy, while it has a date around that, I think the time constants might change a little bit. I think you'll probably see more legs in Phase 2 and we're making excellent progress on our net debt-to-EBITDA. So we're really in a good spot here also paying down our debt. So we might also advance on Phase 3. So the time constant is a little bit variable, but all of this is pretty good news for us, and we're seeing lots of legs in Phase 2 and we have lots of work to do in Phase 2 before we get to Phase 3, but we're going to take advantage of this as it comes.
Joseph Mondillo: Okay, great. And just last question. I was just wondering, Greg, what your expectations for CapEx and how to think about working capital this year?
Gregory Rustowicz: Yes. So our CapEx guidance is unchanged at $15 million to $20 million. We're running a little lower than that. And depending on when we divest the businesses, that number might come down a little bit. And I would say in terms of working capital as well, we had -- because of the timing of incentive comp payments from fiscal '18, which was a really strong year for Columbus McKinnon, our working capital as a percent of sales was a little higher than it was a year ago at this time. And I would also say that once these divestitures are completed as well, we should see working capital improve because one of the three has -- carries a significant amount of inventory with less than two turns a year. So that will help the overall metrics going forward.
Joseph Mondillo: Do you think working capital aggregate for the last 3 quarters of the year, will that be a -- do you think that will be a use of cash or...
Gregory Rustowicz: It probably will, just based on what the markets where they are today. We would expect to continue to see very good growth going forward. I think we're going to try and manage the working capital percentage basis, but we will see higher revenue this year than we did last year.
Operator: Our next question comes from the line of Chris Hillary with Roubaix Capital.
Christopher Hillary: I just wanted to ask, as you're going through -- evaluating the portfolio and the likes in terms of your Phase 2, are you also seeing more opportunities just in terms of products? Like you talked about the one divestiture earlier. Is that, by and large, kind of complete? Or are there other areas where you think you're making things that aren't kind of helping you achieve your longer-term productivity goals?
Mark Morelli: So I think, in our phase right now, Chris, we're -- we're really focused on the simplification effort and we've deployed this operating system down to a pretty granular level. So I'm sitting in literally monthly on our reviews, on our businesses. So these were kind of obviously not great fits, we couldn't a lot of synergy, as I spoke about on the prepared remarks. So whether there's more opportunity in Phase 3, and Phase 3 is more about portfolio assessment. And so there might be opportunities in Phase 3. It's hard for us to prejudge because we haven't really run that analysis yet.
Christopher Hillary: Okay. And then I guess, the second question I had today was just, while you have strong end markets but may be some bottlenecks, do you think it's an opportunity? Or do you think it gives you a better opportunity to stay firm with your pricing? Because it seems like your products are in demand. Everyone agrees that it's a bit difficult, with the input cost, timing, et cetera. Did you feel better than you might felt 12 months ago on pricing?
Mark Morelli: Yes, I think we're encouraged on what we're seeing on pricing in a market and our ability to get traction. And I think also, our products are needed and folks look for us with having really good availability I think they're -- there's such strong market and such good demand. I think folks are mostly concerned, are they going to get products? I think we need to be responsible there. We need to offer the right value at the right price. We're not out there to gauge, but at the same time, we need to offer -- make our offerings available at a price that we think is commensurate with the value that we're delivering. And there's probably more headroom there. And if we run into more headwinds on the material inflation side, then we'll take action accordingly.
Operator: There are no further questions in the queue. I'd like to turn the call back to management for closing comments.
Mark Morelli: Yes. Thanks, Doug. Thank you, all, for joining us on today's call. I thank you for your interest in Columbus McKinnon, and have a good day. Bye now.
Operator: Ladies and gentlemen, this does conclude today's teleconference. Thank you for your participation. You may disconnect your lines at this time, and have a wonderful day.